Operator: Good day, and thank you for standing by. Welcome to Banca Mediolanum Full Year 2025 Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Alessandra Lanzone, Head of Investor Relations. Please go ahead, madam.
Alessandra Lanzone: Good morning -- good afternoon, actually, everyone, and thank you for joining us. We can certainly look back on 2025 as a year of strong momentum on our business and results that keep us very well positioned as we head into '26. Today, we'll walk you through our full year performance, what has driven it and the priorities we're taking into the year ahead. A quick note on Q&A. As usual, feel free to ask your questions in the language of the line you're calling from. We will answer in Italian with a real-time translation into English. With that, I'm pleased to hand this over to our CEO, Massimo Doris, joined by our CFO, Angelo Lietti. Massimo, over to you.
Massimo Doris: Thank you, Alessandra, and good afternoon to all of you. After a record 2024, the question was whether it was a one hit wonder? 2025 answered that question. This wasn't a one-off. We raised the bar and went one step further. The results speak for themselves, but they also speak to something deeper than numbers, the quality of our growth and the strength of a model that delivers consistently. This trend translates into tangible value for our shareholders, and it is reflected in the strong dividend we are proposing for the year. But before we go into the figures, let me start with a quick word on the macro backdrop because it matters since it sets the context for what you're about to see. In 2025, 3 forces continued to pull in different directions: rates moving into a normalization phase, markets shifting mood quickly and geopolitics remaining a generator of volatility through international tensions, trade policy and uncertainty around energy and supply chains. And a regulatory and fiscal backdrop that keeps evolving, especially in Europe and discipline becomes the differentiator. Within that noise, there were also tailwinds. As rates began to ease and markets held up, households started looking beyond part liquidity again. And that's where the difference shows between a model that sells financial products and one that builds long-term relationships through advice. The real question we are going to -- into today is not how was 2025? That is now clear. But how repeatable is it in 2026? The market is looking for visibility on 3 things: continuity of net inflows even if volatility returns, the trajectory of NII in a lower rate environment and continued discipline on costs, including the network component, which is exactly why our guidance -- our read on 2026 matter as much as the numbers we are about to present. With that in mind, we'll be very clear today on what supported our 2025 performance. While we see a structural versus more context-driven and how we are positioning the business to keep growing with quality in 2026. Let's move into the numbers. I'll start with the economic and financial highlights in Slide 4. The headline news is that 2025 was another best ever year for Banca Mediolanum, surpassing last year's record and reaching new peaks across virtually all key indicators. At the group level, net income came in at an outstanding EUR 1.238 billion, up 11% over the previous record level in 2024. What matters most behind this bottom line number is not the one-off impact of tax refund nor the strong contribution from performance fees, but the same engine we've been building for years: customer relationships, smart solutions, sound and needs-based advice and a network that keeps converting engagement into long-term assets. In fact, our core profitability was exceptionally strong. Contribution margin exceeded EUR 2.1 billion, and operating margin was just shy of EUR 1.2 billion, improving 10% versus the prior record. Results were supported by net commission income growth, up 12% to EUR 1.3 billion and a truly exceptional commercial performance, especially the quality of net inflows into managed assets. We also managed the interest rate transition with discipline. Rates continue to normalize through the year and the tailwind to net interest income naturally softened. Even so, we protected profitability through mix and pricing actions to reduce the cost of funding by keeping the balance between growth initiatives and margin management. For sure, recurring fees increasingly carried the weight. Higher average managed assets in the year and strong net inflows supported management fees, which went up 10% to over EUR 1.4 billion. In other words, the revenue mix did what it was supposed to do in a shifting rate environment, less reliance on NII, more support from recurring fee income linked to customer assets. Below the revenue line, we stayed cost conscious, in line with our guidance of a cost-to-income ratio below 40%, while continuing to invest in the levers that matter, namely technology, network productivity, including NEXT and the customer experience, cost-to-income ratio resulted at 37.6%. Slide 8 provides more detail on the other income statement lines. Let me flag a few highlights. Banking service fees climbed 38% to nearly EUR 259 million, driven by strong certificate sales, solid in Q2 and even stronger in Q4. As you know, certificate fees are recognized upfront in the P&L. Net income on other investments was around EUR 22 million, down 35% year-on-year, entirely explained by the different perimeter. We sold our Mediobanca stake in July, so dividend income was limited to Q2. From the second half award, that contribution is simply no longer part of the run rate. Provisions for risks and charges increased by 21%, reflecting the same dynamic we saw in H1. As for risk provisions, last year's favorable legal outcomes led to one-off partial releases that did not recur this year. And for network indemnities, the increase remains volume driven. Higher commissions naturally require higher provisioning. Provisions also increased because we started to build the reserves for the growing Prexta unsecured lending business. It's a prudent forward-looking approach in line with expected loss models as volumes grow. Contributions to banking and insurance industries were down 36% year-on-year, as banking sector contributions did not recur this year. The only notable movement came in Q4, driven by a one-off supplementary extraordinary levy from the banking scheme. Below the operating margin, market effects were definitely positive, thanks to favorable market performance and effective investment management in 2025. The contribution of performance fees for the year was considerable, although 32% lower than in 2024 to the tune of EUR 257 million gross, boosting our bottom line. Remember that performance fees for us are a bonus, not a pillar. They are certainly welcome when they come, but never something we rely on or plan for. Of course, it's the health and consistency of the underlying business that matters. Fair value improved significantly to EUR 28 million from EUR 17 million last year. We fully disposed of our stake in Next in Q2, resulting in a substantial uplift compared with the negative mark-to-market recorded last year. We also saw a positive contribution from treasury trading. Now let's look at extraordinary items. Following a specific ruling by the European Court of Justice last August, we received a refund of EUR 140 million relating to IRAP regional tax we overpaid for the years 2012 to 2024. For completeness, the same ruling also brings a benefit on the tax line, around EUR 17 million of lower IRAP in 2025. Although this benefit is expected to be largely offset in the coming years as IRAP increases. One important clarification on this line, the EUR 140 million refund is partially offset by the financial effects of the required advanced payment of the stamp duty on unit-linked policies as well as by the commissions related to the Mediobanca sale, but especially by a one-off recognition bonus we have decided to award across the group for a total impact of nearly EUR 23 million. I'll come back to the rationale behind this in a bit. Taken together, the nonrecurring items in our P&L were broadly in line with last year, around 4% higher, and this doesn't change the overall picture. Now let's launch into an overview of the business results for the year. Turning to Slide 5. Commercial momentum score new all-time highs across the all-net inflows metrics versus an already very strong 2024, accelerating in the last quarter and taking total net inflows up 11% to EUR 11.64 billion. These results were fueled by the success of our time deposit campaigns, where flows were supported by both new and existing customers, confirming the reach of our marketing and acquisitions engines. If there is one number to call out, it's managed assets. Flows reached EUR 9.06 billion beating our 2024 record by 18% and ahead of our guidance of EUR 8 billion to EUR 8.5 billion. And this is the most meaningful mix for us because it reinforces the quality and durability of our revenue base and supports predictable earnings over time. So driven by these inflows and deposit growth, total assets ended 2025 at EUR 155.8 billion, increasing 12% year-on-year. Keep in mind that positive market performance overall more than offset the weaker U.S. dollar. The credit book also expanded, ending the year just shy of EUR 19 billion, while asset quality stays strong with a cost of risk of 16 bps. The growth of the credit book was supported by higher loan origination with loans granted increasing 28% year-on-year to a total of nearly EUR 4 billion. General Insurance also delivered a strong uplift. Gross premiums rose 20% to EUR 246 million, protecting customers' wealth and earning capacity remains a core priority for us. Growth was supported by stand-alone policies and even more by the renewed momentum of loan protection cover, consistent with the expansion in mortgages. Turning to Slide 6. Our customer franchise continued to grow strongly. We ended 2025 with well over 2 million customers, expanding the base by 6% year-on-year after acquiring 199,500 new customers. Our group family banker network kept step with this growth, also up 6% to 6,798. Intelligent investment strategy has gathered real momentum. Over EUR 5 billion is currently in money market funds with a planned gradual switch into equities over an average 3.5-year horizon. Since the beginning of the year, some EUR 2.2 billion of new money has been invested through this strategy, taking the total up by an impressive 76%. In addition, close to EUR 3 billion is in the pipeline to move into mutual funds over the next 12 months, as highlighted in the last 2 lines of Slide 6, including EUR 840 million from double chance deposits and more than EUR 2.1 billion from installment plans flows, which are building progressively. Our model continues to do what it was designed to do, make it easy for customers to invest regularly while giving the bank a more predictable flow of fee income and a more resilient revenue base. Let's move on to another key pillar of our model. Balance sheet ratios shown on Slide 7. It's a picture of strength and discipline and of continued value delivered to shareholders. Capital and liquidity remain strong and comfortably above requirements, and we further broadened and diversified our funding profile, while keeping our risk stance unchanged. Starting with profitability. ROE came in at a best-in-class 29.1%, a clear proof point of our model at work. Our CET1 ratio remained extremely robust at 23%, even after our solid shareholder distribution. In fact, at the shareholder meeting, we will propose a EUR 1.25 dividend per share, increasing 25% versus 2024. Having already paid an interim dividend of EUR 0.60 in November, this leaves a balance of EUR 0.65 to be paid in April. Let me be super clear. The EUR 1.25 we are now proposing is entirely an ordinary dividend. It comprises a base dividend of EUR 0.80 per share and an additional EUR 0.45 attributable to the exceptional contribution from nonrecurring items as well as the one-off benefit from the Mediobanca sale we executed in July. But value creation for us is not only about shareholders, it is also about the people who make these results possible every day. So alongside the shareholder distribution, every employee and every family banker across the group around 11,000 people, we received a EUR 2,000 bonus, a simple concrete way to say thank you for an outstanding year. Let's take a moment to focus on our family banker network in Italy that reached 5,148 financial advisers at the end of 2025. During the year, on top of the many new colleagues who have joined us with strong background as branch managers or customer relationship managers in other sectors, we also welcome a strong pool of young talent through the project NEXT. As you all know by now, our banking consultants are high caliber graduates. They start with a 6-month executive master at our Corporate University, earn the FAA certification and then move straight into the field, working alongside a senior private banker or wealth adviser, with their remuneration totally covered by the senior. The numbers in Slide 37, reflect the success of the project. At year-end, 590 banker consultants were already active in the network, with an additional 213 currently in training. We expect to overcome 800 by the end of 2026. This strategic initiative is already delivering. Among the 726 senior bankers who have worked with a banker consultant for at least 12 months, productivity has increased materially. They were already ahead of their peers and the lead has widened further. The advantage in managed asset inflows has increased more than ninefold from 4% to 37%. It's up around 1.3x in loans from 31% increase compared to their peers to 40% and up close to 1.8x, both in protection policies from 32% to plus 57%; and in customer acquisitions, from plus 46% to plus 81%. The trajectory is encouraging, and it's getting stronger. The network is accelerating, and we see further upside in productivity. With that in mind, let's turn to Slide 30. It tracks 5 years of productivity for the top tier of our network. 1,074 private bankers and wealth advisers measured by average assets per banker. As Slide 30 shows, average asset per banker stand at EUR 64.2 million, almost twice the industry average of EUR 34 million. And the gap has stood still. It has widened year after year not by accident. It reflects the investment and discipline we've put into upgrading our network quality and the stronger recurring revenues per banker that follow. This is an edge we build, and we see it continuing to improve. Now let's turn our attention to Spain by commenting on Slide #32. As we've seen quarter after quarter, Spain's strong volume momentum gave us the confidence to commit to a meaningful step change in scale. This came with a higher cost base, mainly due to the expansion of our platform, increased activity across the country and additional marketing spend. So the P&L impact reflects a deliberate investment to support growth and build long-term value. One important dynamic to keep in mind: net interest income was down 18% year-on-year and at the current scale of our Spain operations, higher net commission income there couldn't fully close the gap. Keep in mind that stronger commercial momentum in managed assets translated into higher incentives for our network, a natural consequence of delivering more and better business. On top of this, performance fees were materially lower than last year. Operating margin reached EUR 56.4 million, reflecting a 26% decrease compared to 2024. And net income stood at EUR 57.7 million, 29% lower, mainly due to the factors we just mentioned. As a clear sign of Spain's commercial momentum, total assets grew by 18% year-on-year approaching EUR 15.5 billion, with managed assets rising 23% to EUR 11.9 billion. Indeed, Spain delivered another strong year on net inflows, EUR 1.95 billion, jumping 30%, but the real highlight is the quality behind the number. All of it came from managed assets, with flows up an impressive 35%. That's exactly the kind of growth we want to carry forward. Turning to lending. The credit book continued to grow, reaching EUR 1.74 billion, up 17% versus 2024. Meanwhile, the number of family bankers hedged up by 2% to a total of 1,650. The key point here is the step-up in productivity over the past 5 years, mirroring what we've delivered in Italy. Average assets rose from EUR 5.5 million in 2020 to EUR 9.4 million today. Finally, our customer base in Spain expanded to 285,760 marking a meaningful 12% increase versus the previous year. Now I'd like to shift your attention to one initiative that deserves a quick spotlight. Because it's a priority, we are pushing hard. The strength of our brand, combined with the caliber of the top tier of our network, gives us a real advantage in serving the top end of the market. It allows us to focus with increasing confidence on a high wealth segment that is growing rapidly across the industry and expanding just as clearly within our own customer base, those with assets above EUR 2 million. Over time, we've been steadily strengthening our position in this space from private banking customers with EUR 500,000 to EUR 2 million of investable assets to even more so high net worth customers above EUR 2 million. And as you may recall, a few months ago, we launched our Grandi Patrimoni program, introducing a new service model built to raise the service standard where it matters most, meaning customers above EUR 2 million. In practical terms, it's built around 4 pillars: fee-based advisory models, the so-called enhanced advisory including fee over administered assets and fee-only solutions; a dedicated product set, spanning lending and wealth management; a tailored investment banking and fiduciary proposition alongside highly specialized wealth services; an enhanced coverage approach, including wealth adviser teams to bring broader expertise to customers. This is how we intend to earn more share of wallet at the top end with a service model that matches the complexity of their needs. Even though the program only launched midyear, we've already seen encouraging results in 2025. The number of high-end customers with more than EUR 2 million assets grew by 20% versus the previous year, reaching close to 4,000, and they hold a total of EUR 19.4 billion in assets, up 22%. In 2026, we will keep building on this and further scale the model. Well, to wrap up, 2025 was a year of extraordinary milestones for us. We faced challenges. We delivered and showed what excellence looks like. And we did it with the same engine we've been building for years, 45 years to be exact actually yesterday. Looking ahead, it's important to be clear of what we are aiming for in 2026. Our 2026 guidance is as follows: We expect net inflows into managed assets to be around EUR 9 billion assuming normal market conditions. We see net interest income up approximately 10% versus 2025. We are targeting a cost-to-income ratio of around 38%. We expect cost of risk to be around 20 bps. We intend to increase dividend per share versus the EUR 0.80 base dividend. The road map for the year is targeted and built around our main priorities: growth, productivity, durability and sharing the value we create. Our goal is to make it look routine even though it never is. Thank you for your time. And as always, we appreciate your continued support. Alessandra, over to you.
Alessandra Lanzone: Thank you, Massimo, and we can now open the Q&A section.
Operator: [Interpreted] [Operator Instructions] We'll now have the first question from Mr. Enrico Bolzoni JPMorgan.
Enrico Bolzoni: [Interpreted] First question on banking fees. You had a very good print for the quarter. So I would like to understand whether you can give some more color. I believe this is due to the sale of certificates and what do you expect for the coming quarters? Maybe you can give us some color as to how they fared and they performed in January? Second question it's on fee-on-top that is, so-called unbundled model. I was reading the Assoreti reports. And apparently, they are harvesting a lot of interest. If I calculate and examine your margins, net of the commissions that are going to be remitted to consultants, your margins are quite hefty above 1%. Do you think that in a world where advisory will be more and more based on the fee-on-top top model, will be able to retain these margins because basically, you will have 1%, 1.1%, 1.2% fee that will have to be added on it. It seems rather high compared to a market like that in U.K. where commissions are already fee-only -- based on a fee-only model.
Unknown Executive: Right. As far as banking service fees are concerned, in 2025, markets have performed very well. And setting aside the certificate we sold in the past upon maturity, there were many calls as well, that is certificates had already met the targets and there, they were redeemed earlier. This -- I mean, certificate that had to last 4 to 5 years, lasted 1 year, reaping an excellent result for our clients, and therefore, clients reinvested in new certificates.
Enrico Bolzoni: What can we expect for 2026?
Unknown Executive: It really depends on how markets will perform. If markets will keep rising, many certificates will be redeemed earlier and therefore, we are going to see reinvestments. If markets will instead remain flat or trend down, there will be no early redemptions, there are going to be the normal maturities and the normal operations and trades. But we don't have only certificates in this figure, we have [ monetics ], we have bank account fees. There are many, many items under this line item. So if the markets are fair, well, we can expect this item to grow next year. If markets sort of slug around, probably this line item will remain flat. Other fees and commissions will increase and maybe fees and commissions generated by certificates remain flat or slightly dip. Having said this, if I don't sell certificates, I'm going to sell funds or unit-linked. Yes, there's an impact on the P&L because the certificates are upfront, whereas the others are ongoing in terms of recognition. But what is important is to have managed assets. As far as the fee on top issue is concerned, this advisory model most likely is going to be rolled over on high net worth individuals, as we can see on the market. On high net worth individuals already today, we obtained lower commissions because on high net worth individuals, we have a higher number of third-party funds, and therefore, this means a lower margin for Banca Mediolanum. Talk about my life policies, the unit-linked policies that then as an underlying have a number of own funds or third-party funds that family bankers can enter in the -- as an underlying. A normal my life have safeguard and monitoring fee equal to 1.75%. If the investment is above EUR 1 million, the commission goes down to 1.25%. If it's more than EUR 5 million being invested, it goes down to 1%. And the mix and the underlying mix changes because we go from a higher percentage of own funds to a higher percentage of third-party funds, and therefore, margins change accordingly for us and for family bankers as a consequence. So if we take the average sort of rule of thumb calculation, this commission payment model devoted to high net worth individuals is going to weigh on the commission average we receive. But we have to really take another view. If I don't introduce this type of commission model, I may lose some market share. So my margins will remain higher, but on a much lower asset volume, a much smaller asset volume. Having said so, not only will we acquire top clients with lower margins, thanks to the Grandi Patrimoni program. But we will keep on acquiring upper mass and affluent clients who are going to invest in classical managed assets with the product we know. We will keep on working on both the fronts trying to constantly growing our masses, providing the right service at the right price to the different client segments.
Operator: The next question comes from the line of Luigi De Bellis, Equita SIM.
Luigi De Bellis: [Interpreted] The first is on the 2026 guidance on the managed asset -- well, net inflows into managed assets. What other volumes did you expect to have in the next 12 months and that will be turned into managed assets? And what is the trend in this January of net inflows into managed assets? And then the NII growing about 10%. Can you remind us of the assumptions, Euribor assumptions, growth of value deposit and growth of the banking portfolio -- or sorry, the loan portfolio?
Massimo Doris: As to the first question, we have about EUR 3 million between installment -- EUR 3 billion between installment plans and double chance. And in the next 12 months, over 2026, they will go from deposits or bank accounts to managed assets. So we already have EUR 3 billion worth of gross managed inflows so to say, but EUR 3 billion, nonetheless. And the IIS, we have EUR 5 billion in monetary funds that are tied in with the Intelligent Investment Strategy service are already part of the net managed inflow. So the shift of transfer of about EUR 1.5 billion with market markets being as they are now because, of course, if markets go down, there's a shift between money funds to equity funds. So with things standing still, we would have EUR 1.5 billion going from money funds to equity-based funds. But from the point of view of managed assets, the impact is 0 because the money funds, the money market fund is already considered to be managed assets. So -- and we would go from 1 to 1.25 recurring fees. So that would be a very limited impact. As to the NII, the Euribor assumptions, let me get it for you. The average Euribor assumption is 1.95 at a steady state, 3 months Euribor as well. And then why do we foresee assume growth volumes first and foremost, because we assume there will be growing volumes where the inflows that goes to bank accounts at 0 cost. And this 10% growth implies and includes 2 initiatives. One is ongoing already at 3% today. And the next initiative will be in the second half of this year with propositions where the cost of inflow will have -- of funding, sorry, the cost of funding will have a major impact. So there should be an increase in volumes in bank accounts where we have 0 interest applied. And then, of course, there will be increase in volumes also in loans as well and mortgages. And then the cost of funding comparing 2026 to 2025. In 2026, we expect a lower cost of funding because in 2025, for instance, in the first half or first part of 2025, we had the offering on 6-month deposits that have been launched in September, October in Q4 2025, where we were granting 5%. So in the first part of 2025, we paid 5% interest on time deposits, now we are paying 3% on time deposits. So -- and then it went down to 4%, et cetera. So low cost of funding, as I was saying, and higher volumes. That's our assumption to get to the plus 10% that we are assuming.
Operator: Next question comes from Alberto Villa, Intermonte SIM.
Alberto Villa: [Interpreted] Congratulations for your results. I really would like to talk about the competitive scenario. Yesterday, we heard the presentation of Intesa's presentation. This bank has been focusing for a long time on distribution and asset management, they're also trying to grow through Banca de territory, converting their distribution network also from this point of view. So generally speaking, is this focus that all banks are showing on asset management, something that can somehow affect more specialized players as you rightly are? And do you believe that the growth opportunities will still remain significant considering that Intesa is quite aggressive also in terms of recruiting. Do you think that you might have a stronger churn rate in the future or are you quite carefree? Back to the net interest income. Can you give an idea of volumes, a guidance with respect to volumes are concerned to concerning loans. Loans have been growing above average. Do you think that you still have a significant growth opportunity ahead from this point of view?
Unknown Executive: You're talking about loans alone? or are you talking about loans, mortgages, you mean the entire lending volume?
Alberto Villa: Yes, total figure.
Unknown Executive: Let me answer to your first question first regarding networks. Now first of all, large banks, creditor talked about this, Massimo said this as well. In Italy, they already have Fideuram. If I got it right it was really more focused on international banks. But really, this is not that important. But if everybody wants to develop their networks, it means they are working well and they have a future because otherwise, they would not be investing in their network development. They probably acknowledge the fact that this trend is keeping up that is traditional banks based on [indiscernible] statistics. Traditional banks in 2010 had a market share of 72% with respect to Italian financial assets. Networks had 9% -- held a 9%. At the end of 2025, traditional bank went from 72% to 59% give or take and networks went from 9% to 21%. The difference is made by Poste and insurance companies, Poste Italiane 14%; and insurance companies around 5%. So this constant trend from 72% to 59% decrease from traditional banks. And the increase from 9% to 21% by networks, the fact that traditional banks want to invest on networks is rather comprehensible. I said 14% for Poste, it's 15% and then we don't see the insurance companies, but it's 5%. So it's quite natural and -- that they want to invest. What I'm worried about -- I mean, am I worried? Honestly, no, I'm not. It's not that I don't care or I don't pay attention. Of course, I do track what my peers do. They are managed by smart people, I'm not going to underestimate that. But I also take into consideration our capability of acquiring new clients of growing our network and managing our network. We've been doing that for 44 years, as Banca Mediolanum. My father did that even before that for a longer time. So let me say we've been piling up quite a long experience. As far as loans are concerned, we believe that loans granted could increase by 5% and then you see the trend.
Alberto Villa: If I may ask a question. In the next 5 years, the percentages you illustrated, how may they change between banks and networks? Is there still room for growth?
Unknown Executive: Yes, I saw a projection where the movement is 1% per year. 1% shared by traditional banks and taken over by networks. But take into consideration that, that is the total figure in your -- when you ask your questions, you mentioned Intesa. Intesa is part of the 59.2%. The 1% they are going to shed -- also Intesa might shed a little bit of that 1% or maybe Intesa is going to grow that number, and that will be eroded from some other bank. But the same goes for networks as well. Some will lose and some will earn market shares. Second thing is that these are percentages. But take a look at the bar chart below. These are Italian's financial assets that are on an upward trend. 59.2% out of 4,000 billion is more than 73% of 2,700. So in absolute terms, assets have increased with respect to inflows that have been reaped by banks. But the pie is getting larger. And, I mean, the mix changes, but the pie is growing.
Operator: The next question comes from the line of Elena Perini with Intesa Sanpaolo.
Elena Perini: [Interpreted] As far as I'm concerned, I would like to ask the following. I have questions on admin expenses. You were heading for cost-to-income lending at 38%. But as far as year-on-year growth is concerned, I'm talking about costs, of course, what is your assumption? And then the second question is on loans, you are granting and then you will be granting going forward for artificial intelligence, how does artificial intelligence come into play in your business proposition going forward? And then another question on your dividend. You always refer back to your base dividend, and this year, you stated it's EUR 0.80. I would say that right now, we're just thinking of a growth trend, taking this line item as a reference, considering your CET1 ratio, which is very, very sound, by the way, I think market expectations are for growth on this base dividend, a major or a material growth in your base dividend now and in the coming years. I know that you want to be above 22% in your CET1 ratio. Could you elaborate on that? Well, capital and dividends?
Unknown Executive: [Interpreted] Well, as far as cost -- the cost income ratio is concerned, we gave around 38% as guidance. So that means well, general costs, overhead cost is 8% to 9%, should be around 8% to 9% higher. And please correct me if I'm wrong, I'm speaking to my coworkers, of course, as far as artificial intelligence is concerned, we are investing in it. And we, too, of course, are. And we are doing so for our back office, for instance, in managing mortgages, for instance. When we look into the full documentation being provided for the granting of a mortgage, of course, you need people reading papers, documents, making sure all the documents are being provided. And sometimes, depending on what the document states, more information is requested. So there are many people working on that and a lot of time being allotted to that process to, of course, process the individual sites. We are testing artificial intelligence for that. Just to give you an example, there are many of them. And time is really cut because artificial intelligence looks into documents much faster and with the level of accuracy which is quite high, by the way. And right now, we are in a test phase because these documents are then also still edited and revised by people. But by year-end, I think it will be used most extensively, more extensively at least. We are using AI for that, and we are also using that in the tools that are made available to our family bankers because they have a huge amount of info that they have to process. But of course, first and foremost, we have to retrieve info, be aware that the info is available and then use info in the correct way, use data in the right way. And there too, artificial intelligence can really help our family bankers not only to have data, more accurate data available in a faster way, but also to have and get suggestions and prompts from the system telling them you did this for this type of customer, why don't you do the same for this other cluster of customers that might need the same things. And so we are investing heavily along those lines. Let me say, dividend -- base dividend. I am the first to hope, of course, as I'm a shareholder, there's conflict of interest they are telling me here. Other times, we have mentioned this. Elena, you mentioned that we have a CET1 that is very, very sound. And I'm confirming that. But let me remind you that a bank has a lot of obligations. So it's not just CET1, that's the ratio we have to bear in mind. There are a number of other things that have to be taken into account. MREL ratio, for instance, the request made by the Single Resolution Board, and we are around 22% as far as the request from that regulator is concerned. And then the capital bank holds is also has an impact on other ratios. It could be interest rate risk of a possible change or delta in the NII. CET1 -- focusing on CET1 alone may lead to drawing maybe the wrong conclusions. Having said that, the EUR 0.80 we are currently offering it's about EUR 600 million of distributed dividend or paid out dividend. So when we suggest that going forward for next year, we're thinking of paying out slightly more than EUR 0.80, we always refer to a performance that does not include one-off effects if we consider performance fees and tax refunds, our profit was very close to EUR 1 billion so already paying out 60%, 70% of one's profit every year and still growing at a constant rate at a steady state with all the objectives and goals we have to grow and as your colleague said before with your question, also lending wise, we expect a 5% growth on stock and another 5% on the granted loans. So we think we are providing the right information by taking into account all of these factors. And as the CEO said, if results, if the performance during the year, as we had last year, we had a base of EUR 0.75, and we distributed EUR 1, thanks to performance fees. And so we had one-offs to be taken into account also on the EUR 0.80 we're paying out now. So it's EUR 1.25 -- EUR 1.25 that we're paying out. We want to be sound in our positions when it comes to the capital ratios as well. And let me remind you that in 2022, we had about EUR 0.50 of base dividends. And in 2023, we moved to EUR 0.70. So it was a major leap. And then we went from EUR 0.70 to EUR 0.80. Next year, what will it be? We'll see. Let's wait and see depending on how we perform over the year, and we'll make a decision on it, but it might be another good leap. It's according to me, it's useless to have a leap in our base dividend of another EUR 0.10 per share to then, of course, the following year and then go from EUR 0.80 to EUR 0.90, then the following year do EUR 0.91 because we are still getting very close to the limit, so to say. So the base dividend according to us must be something where we are really confident we're not going back on the contrary that we can move forward upon. And as we said this year and for last year as well and a few years before, but let's say, let's focus on this year and last year. If there are special situations and the markets are helping us, and we get one-off revenues, so to say, we will pay them out, distribute them as we have done in the past.
Alessandra Lanzone: We'll now take the next question from Mr. Giovanni Razzoli, Deutsche Bank.
Giovanni Razzoli: [Interpreted] I have 3 questions. Can you give us an indication of the Grandi Patrimoni program scope? How many clients have already been included in this initiative? In the third quarter, you talked about BTPs that were going to expire in 2025 in the second half of the year, and they would have been renewed at higher rates. Can you tell us how many BTPs are going to expire in 2026 and if you're going to have the same effect? Last question, do you still have funds that are under the high watermark? And if you can give us a percentage because this would give us a greater visibility on performance fees considering the market performance.
Massimo Doris: [Interpreted] The current -- the customers that could be interested in Grandi Patrimoni are more or less 4,000 clients and it is more than 2 million invested with us right now. This is what we already have, but the objective is not so much that of asking these clients to invest even more, which we'll be willing to accept if they are investing also with other peers. But the main target is to acquire more clients. But we already have 4,000 potential clients. As far as BTPs are concerned, in 2026, we have EUR 3.8 billion maturing, but BTP is only EUR 150 million. So the BTP maturity is really very limited, EUR 1.5 billion worth of CCTs and the rest is securities from other countries that were purchased. These are fixed rate securities that were purchased in previous years in terms of diversification.
Giovanni Razzoli: [Interpreted] What is the yield of these maturing securities?
Angelo Lietti: [Interpreted] The yield goes from 2.7% to 2.9%. This is more or less the yield from 2.7% to 2.9%. I'm talking about the bonds that are going to expire in 2026 because most of these government bonds were purchased a couple of years ago when we started to diversify between Italy and Europe. So yields are still more or less the same. As to maturities and the renewal, once they mature, I believe that we will get close to these yields. There will -- we will see no true upgrade, but we'll maintain the yield, the return we get from these securities stable. As to funds, on December 31, we had 5 funds that were below the high watermark with a total NAV of EUR 4 billion.
Alessandra Lanzone: Next question from the line, Gian Luca Ferrari with Mediobanca.
Gian Ferrari: [Interpreted] I have 3 questions. The first one is about the backdrop. We read about -- we've seen that there are trends to transfer wealth from one generation to another, EUR 100 billion from now to 2023. Do you think your advisory will change its nature to follow that trend? Will you adjust that to keep up with the trend? And second question on the ETFs. There's a lot of impact of passive managers. Have you changed your approach? Or are you going to have ETFs with active management, active ETFs? Are you going to create your own? And as another question, the introduction of value for money in your retail investment strategy bundle. Can you give us an update on that?
Massimo Doris: [Interpreted] As to the first question, well, generational shifts, there will be a change in generations indeed. But I don't think there'll be any radical changes, so to say, any deep-rooted changes. But savers will -- well, they will have to find a banker, a consultant that will speak the very same language. We have our next project. Project Next enables us to be very well positioned to keep up with that generation shift. By year-end, we expect to have 800 of these banker consultants. They are aged between 25 and 26 on average. And when they join the network, they are even 24, 25. Some of them have been in the network in the Next program for a few years now. So maybe they are older than 25 or 26. But out of the 600 we already have, they are not older than 26 years of age on average. So if these are the people who will get in touch with the next generation, the sons and daughters of our own clients. So they will grow together. So we think this is one of the keys so that when money -- when the wealth goes from one generation to another, we are still -- we are already there with the client, and we already have a relationship with the person receiving the wealth and not starting the relationship at that very moment that is when they receive the wealth ETFs. They are more and more used. Yes, that's true indeed. Let us remember that one thing is looking at figures or data in absolute terms and something totally different is looking at things from a relative perspective, looking at percentages rather than individual data. ETFs does not necessarily imply lower commissions or fees. ETFs are not sold directly, but they are -- indeed, we are also selling them directly. But normally, they are included in asset management products. As of last year, we have a line for wealth management that can be done exclusively in ETFs. Of course, it is devoted to our top-tier clients, but it's not -- we're not focusing on the margin that we would get by selling an ETF. It's much -- something much more material. Do I think there'll be more use? Yes, I think there'll be more use, but that won't mean that's the end of investment funds. Are we going to create and issue our own ETFs? It's -- we're not planning it yet, but I'm not ruling it out. It's something that we are thinking about. We are focusing on if and when we'll do that remains to be seen, but it's not something we are ruling out as such. And as far as value for money, there are -- we started from MiFID I, then MiFID II and all the different interpretations of the different regulations that are being applied. Sometimes interpretations are different from country to country. They could be more or less restrictive. Sometimes, they start from ideas and concepts that may seem meaningful, but then in practice, they could not be, they cannot be applied. Having said that, let me say that at the end of the day, if you provide a good service to your clients, and by service to one client, it's not just a matter of money, what they can earn with the service or we can earn with the service. Let me quote a survey we did quite a few years ago. We looked into customer satisfaction. And we tried to understand if customer satisfaction was more tied in with the actual performance of the investment or something else as well. And what we had realized and noticed is that the most satisfied customers were the ones that had a higher frequency of contact or being in touch with a family banker. If the market is not faring well, clients that have a high frequency in getting in touch with family bankers and are therefore aware of what is happening in the market. They've discussed -- they've looked into asset allocation and possible modifications of it. So the client is fully aware of what is happening. That equals a satisfied customers, say, growing markets, markets that are improving, that are -- but they're not seeing their family bankers. There's a performance, but the client has no idea if something has to be changed in the portfolio, they have to sell, they have to buy something more. And that equals an unsatisfied or dissatisfied customer. And -- but this regulation or the trend only looks at returns, but there's a missing chunk that has to be taken into account, too. And I'm sure that if we work well with our clients, no matter or regardless what regulations impose or provide, they will not have an impact on the customer satisfaction because this regulation does not only apply to Banca Mediolanum, but to the full -- the entire market. And if we're going uphill, we're all going uphill. It's enough for you to run a little faster than the others and you're running first, even though you're being -- even though it's a slower run because of the market conditions.
Alessandra Lanzone: The next question comes from Adele Palama Hama, UBS.
Adele Palama: [Interpreted] I have 3 questions. First one on NII and the NII guidance, in particular, the lending stock increase. You talked about a 5% increase in loan stock being the assumption. If I actually make a calculation, the loan book increased by 8%. So the 5% refers to the retail loan book. And if so, why do you expect to have a lower growth rate than the one you reported this year? I don't know whether this is a matter of mix. Then second question, again, has to do with NII. Can you clarify your customer interest income or loan yield. This quarter, it went up to 3.36% from 2.20%. How is it you had this increase in gross yield? Because the cost of funding declined with respect to deposit promotions, but I don't understand how you got to this yield increase quarter-on-quarter. Then guidance with respect to inflows how much more for maneuver do you have to improve from the EUR 9 billion amount that you reported? Because actually, there is an 8% compared to the initial stock compared to the one you reported this year, which was 9%.
Massimo Doris: [Interpreted] If you can show the chart with the bars -- I mean, the bar chart to make it simple. I will answer to the first question on NII guidance and loans. Between 2024 and 2025, we have reported a significant increase. That was actually an important leap because rates had gone down, and therefore, there was a higher demand. Rates are going to remain stable, most likely. So this jolt, if you want, if we take a look at the trend in -- I mean, if you compare 2023 to 2022, there is a EUR 0.5 billion increase. 2024 over 2023, again, EUR 0.5 billion, more or less EUR 600 million. 2025 compared to 2024, it increased by EUR 1.3 billion basically, EUR 1.4 billion almost. So there has been a strong acceleration that was driven by interest rate decline, which according to projections is not going to take place in 2026. Should they decline by 1%, we would see an even greater momentum, an even greater boost. But since interest rates are possibly are going to remain stable, growth is going to be standard. Really, 2025 was a sort of one-off because it was really pushed by interest rate performance.
Angelo Lietti: [Interpreted] I was not clear. Granted loans of the year compared to the previous year increased by 10%. So you have to see the growth comparison in terms of granted loans. If the stock increases, also the repayment and the actual mass increases. So it's obvious that you will have this type of dynamic. I'm not saying that we are not going to see an increase in loans granted. It's going to be plus 10%. Loans granted '25 over '23 grew even more from EUR 3 billion, it went up to EUR 4 billion, driven by interest rates and it reflects on total amount. And then as far as NII is concerned, in the last quarter, Euribor on mortgages increased. And this is why we had this increase on -- referring to the spread. This is why we reported this increase.
Massimo Doris: [Interpreted] And then, of course, there is an additional effect clients entering -- taking mortgages with us can skip a certain number of payments at no cost. When interest rates were high, many clients decided to take advantage of this option, and they would skip and defer certain payments. If the client does not pay a given payment, we are not going to earn the interest, and this is an impact on NII. Since rates have stabilized, many clients opted in and especially in the last quarter, and this had a good positive impact on interest income for the bank. And then EUR 9 billion in terms of managed assets, will it be possible to improve this? First of all, this was a blockbuster result. Can we do even better? Yes, if the market goes up 20%, most likely, we might even improve and exceed the EUR 9 billion, which I hope will be so. If the market were to remain flat, keeping the EUR 9 billion will be a hefty battle. If the market is going to go down 20%, we will never make it up to EUR 9 billion because it will be more difficult to retain the assets of our clients and to acquire new clients. This holds true not only for Banca Mediolanum, but for the market at large. For example, on this slide, you see that in 2022, we reached more or less EUR 6 billion worth of net inflows in assets under management. 2025 was a difficult year because both fixed income and equity markets went down. All asset classes went down. And in 2023 -- sorry, I was talking about 2023 and not 2025. All clients were looking at their results, and they were reporting losses. So 2023 was a very, very tough year for the entire sector. I remember that back then, Assogestioni, when analyzing the retail market, they reported net outflows of EUR 22 billion. If I remember correctly, Assoreti reported EUR 6 billion worth of net inflows, 5% of which were retail Banca Mediolanum. Now you saw 4 there. I talked about 3 because Assoreti does not include Spain on the one hand and then also because certain products such as certificates are being classified under different line items, not only for us, but for everybody. This means that we went from EUR 6 billion to EUR 4 billion because of the rough market, but those 4 accounted for half of the entire market inflows, plus EUR 4 billion net inflows compared to EUR 22 billion worth of outflows for the entire market. So was that a bad year? From my point of view, that was a great year because we have increased our market share quite a lot, even though we slowed down because it was really, really uphill. The slope was steep.
Alessandra Lanzone: There are no more questions. Let me now turn the conference to the English channel.
Operator: [Operator Instructions] There are no questions on the English line at this time. I would like to hand back over to the Italian line. We have no more questions in the Italian conference. Let me hand it over to Mrs. Lanzone for the closing of the conference call.
Alessandra Lanzone: Thank you very much. I'd like to thank all of you for joining us. [Statements in English on this transcript were spoken by an interpreter present on the live call.]